Company Representatives: Samuel Jonas - Chief Executive Officer Marcelo Fischer - Chief Financial Officer
Operator: Good morning or good afternoon, and welcome to the IDT Corporation's Third Quarter Fiscal Year 2020 Earnings Call. In today's presentation, IDT's management will discuss IDT's financial and operational results for the three month period ending April 30, 2020.  During prepared remarks by IDTs Chief Executive Officer, Samuel Jonas, all participants will be in listen-only mode. [Operator Instructions]. After the prepared remarks, Marcelo Fischer, IDT's Chief Financial Officer, will join Mr. Jonas for Q&A. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but not limited to specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP EPS. A schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP EPS to the nearest corresponding GAAP measure. Please note that IDT earnings release is available on the Investor Relations page of the IDT Corporation website, www.idt.net. The earnings release has also been filed on a Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas. Please go ahead.
Samuel Jonas: Hi! Thank you, operator. Welcome to IDT’s third quarter fiscal 2020 earnings call covering results for the three months ended April 30, 2020. I’m joined today on the call by Marcelo Fischer, IDT's Chief Financial Officer. For a more detailed report on our financial and operational results, please read our earnings release filed earlier today and our form 10-Q which we will file with the SEC next week.  I want to start the call by thanking our team worldwide who did just an incredible job of rapidly transitioning to work-from-home and did not miss a beat during this terrible pandemic. This is especially noteworthy when you consider that so many members of our team are balancing multiple day jobs like assistant teachers, caretakers for sick relatives, and volunteer first responders in their communities.  I also want to thank and recognize our frontline salespeople and delivery teammates for continuing to serve our resellers and channel partners throughout this challenging time. Thank you team IDT.  Turning now to our fiscal Q3 financial performance, results for the third quarter were highlighted by both, the resilience of our business and the increased contribution from our higher margin growth initiatives, which more than offset the decrease in contribution from our lower margin core offerings.  In our core offerings, BOSS Revolution Calling revenue and Carrier Services revenue both declined, partially offset by continued growth of Mobile Top-Up revenue. The rate of decline in BOSS Revolution Calling revenue slowed compared to recent quarters, while sales of lower margin Mobile Top-Up jumped.  Both BOSS Revolution Calling and Carrier Services improved our margin contribution as a percentage of revenue compared to the year ago quarter, thus muting much of the impact of their respective revenue decreases on our bottom line. At the same time, our growth business initiative turned in a very impressive quarter.  BOSS Revolution money transfer revenue nearly doubled compared to the year ago quarter, increasing to $11.8 million despite the fact that roughly one quarter of our money transfer retailers suspended operations during March and April. IDTs overall international remittance transaction volume increased significantly for the quarter, driven by our digital channel through our money app.  We also leveraged the strength in the U.S. dollar to take advantage of temporary foreign exchange market opportunities that increase Money Transfer as revenue and margin contribution.  On the other hand at net2phone, where approximately one half of our net2phone-UCaaS revenues are generated outside the U.S., the strong dollar work against us reducing dollar translated revenue and margin.  In addition, the spread of COVID-19 internationally slowed the pace of new customer acquisitions through the channel. Despite these headwinds, net2phone increased seats served by 54% year-over-year and 11% sequentially to 137,000, while UCaaS' subscription revenue, exclusive of equipment sales increased by 34.6% year-over-year and 3% sequentially to $7.7 million. In the long run though, COVID-19 may end up accelerating changes in the marketplace that play to net2phone’s strengths.  The pandemic is accelerating and globalizing the transaction to remote work-from-home for employees and companies worldwide and our international presence and expanding suite of communication and collaboration tools position net2phone extremely well for long-term growth.  Speaking of collaboration tools, last quarter I discussed net2phone’s new integration with Microsoft Teams. This quarter we also released in beta our secure video conferencing solution net2phone Huddle. I want to thank our development team for their efforts to accelerate the product launch, so that our customers can use it when it's needed most.  National Retail Solutions also had a strong quarter, increasing revenue by 87.9% year-over-year, led by very strong increases in all areas of the business. This quarter we also launched the BR Club app, a shopping and loyalty app that allows customers to easily order food or other items from our NRS stores, either for pick-up or deliver, which turned out to be an opportune time for the launch.  Across all our businesses we are very focused on adopting to meet the evolving needs of our customers, as the pandemic, including its potentially longer term effect plays out. Our IDT Team has done a very good job addressing the challenges and opportunities presented thus far. However, we remain mindful that current economic conditions if they endure will create additional hardships for many of our customers over the coming months.  Now Marcelo and I would be happy to take your questions.
Operator: As there are no more questions, this concludes our question-and-answer session, as well as the conference call. Thank you for attending today's presentation and you may now disconnect.